Operator: Ladies and gentlemen, welcome to the Givaudan 2025 Half Year Results Conference Call and Live Webcast. I am Myra, the Chorus Call operator. [Operator Instructions]. The conference has been recorded. [Operator Instructions]. The conference must not be recorded for publication or broadcast. At this time, it's my pleasure to hand over to Gilles Andrier, CEO. Please go ahead.
Gilles Andrier: Thank you. Dear ladies and gentlemen, welcome to our 2025 half year results conference call. Stewart Harris, our CFO, is sitting next to me on this call today, and we will take you through the presentation before answering your questions at the end. All relevant documents related to the 2025 half year results, including the slides we are presenting now, have been published this morning and are available in the results center on our Givaudan website. So we are very pleased with our continued strong financial performance in the first half of 2025, despite an environment with ongoing geopolitical and macroeconomic challenges. Sales remained strong with good growth across all business segments, all geographies and customer groups, against very strong prior year comparables. These results once again demonstrate the value that Givaudan brings to its customers through our highly specialized products and solutions. So now let me give you some details with the performance highlights on Slide 4. In the first half of 2025, the group recorded sales of CHF 3.864 billion, an increase of 6.3% on a like-for-like basis. As a reminder, prior year was 12.5% and an increase of 3.4% in Swiss francs. Like-for-like growth was mainly volume driven with a very slight contribution of pricing. The strong sales growth was achieved across all business segments geographies and customer groups supported in particular by the continued outperformance in Fine Fragrances, the high-growth markets and the sustained strong growth with local and regional customers across the 2 divisions. Our comparable EBITDA amounted to CHF 973 million, leading to a record comparable EBITDA margin in the half year of 25.2%, up from 24.8% in 2024. The net income amounted to CHF 592 million compared to CHF 588 million last year. The free cash flow in the first half was slightly negative. This is due to the timing effects of capital expenditures and tax payments, but we remain very confident to achieve our midterm target of an average free cash flow greater than 12% for the 5-year strategic cycle ending this year. Now before Stewart will share more details about the operational performance, let me give you some more details. In the first half of 2025, sales remained strong with good growth with -- in all business segments, geographies and customer groups, against the very strong comparable of 2024. The group's like-for-like sales growth was 6.3%, mainly volume driven, while the contribution of pricing plus FX pricing was below 1%, a similar level in both divisions. Fragrance & Beauty sales were CHF 1.955 billion, an increase of 8.6% on a like-for-like basis. As a reminder, the prior year was 15.3% and 7% in Swiss francs. Taste & Wellbeing sales amounted to CHF 1.909 billion, up 4.1% on a like-for-like basis. Prior year was almost 10%, and it was flat in Swiss francs. While we have not yet seen performance from our peers for the first half, we have clearly outperformed them during the first quarter by showing, on average, a like-for-like growth twice as fast and despite the fact that we have been facing a much tougher comparison base. As you can see on Slide 6, high-growth markets continue to outpace mature markets by a multiple of 3x, leading to an almost equal absolute size in sales in the first half year of 2025. Key growth markets such as India, Brazil, the Middle East market and China continued to contribute to the strong performance of the high-growth markets. We also achieved a solid growth in mature markets of almost 3%, led by the continued solid performance in Europe and a sequential improvement in North America. Let's now have a look at the regions in more granularity on the next slide. We have seen a continued strong growth in LatAm of 9.4% on a like-for-like basis, driven by the underlying strong volume growth as the FX pricing is abating. The largest region, Europe, Africa and the Middle East, EME, sustained a strong growth of 8.6% on top of the double-digit growth recorded in the prior year. Asia Pacific grew by 5.3% on a like-for-like basis with strong growth in Japan and China. And finally, North America continued to be volatile, but showing a sequential improvement in the second quarter, leading to a 1.7% increase in like-for-like for the first half. Turning on the divisional view on Slide 8, starting with Fragrance & Beauty. Sales amounted to CHF 1.955 billion, up 8.6% on a like- for-like basis; again, reminding the comparable of 15.3% and 7% in Swiss francs. The strong like-for-like growth remained broad across all segments, regions and customers with particularly strong performance in the high-growth markets and with local and regional clients. Fine Fragrances continued its strong growth momentum at an impressive 18%. And while we continuously said that we shouldn't expect Fine to continue to grow double digits on top of a double-digit, we like to be proven wrong again. The remarkable success in this segment is underpinned by another 12% growth CAGR since half year of 2019. In fact, we achieved almost as much sales in the first half of 2025 as we did for the entire year in 2019. In other words, we doubled our Fine Fragrance business in the last 5 years. The Consumer Products business maintained a strong performance despite the challenging comparison base of 17.3%. The 6.1% like- for-like growth aligns closely with the long-term CAGR for the segment, which is what has been around 6% to 7% from '18 to 2025. Fragrance Ingredients and Active Beauty sales increased 5.7% on a like-for-like basis with continued strong double-digit growth in Active Beauty, but which was offset by a softer performance in Fragrance Ingredients. This reflects an overall softer demand from the market. Let's move now on the Taste & Wellbeing division on Slide 9. Sales for the division amounted to CHF 1.909 billion, up 4.1% on a like-for-like basis and about flat in Swiss francs. The good growth was broad-based across regions and segments. On a regional basis, particularly SAMEA, South Asia, Africa and Middle East, continued to show an impressive growth of 12.7% on the top of a similar high growth in the same period last year. Positive as well to mention that North America, where after a soft start in Q1, the growth momentum has sequentially picked up, leading to a 2% growth for the first half. Europe and Latin America continued to show solid growth of 4.2% and 4.1% on the like-for-like, respectively. Asia Pacific experienced a more modest growth of 2.1% like-for-like. The prior year was 9.3%. And while we have seen a continued good growth in key markets such as China and Japan, this reflects the high comparison base from the previous year, particularly in the Southeast Asian markets, such as Indonesia and Thailand, which are the 2 largest markets in Southeast Asia. Now let's shift from the financial highlights to key innovations, which support customer needs and key consumer trends as shown on Slide 10. Innovation is core and essential to us, enabling us to create unique solutions that tackle our customers' challenges while leading in biotechnology sustainability or digitalization. Our R&D efforts equip our creation and development teams with cutting-edge technologies and distinctive ingredients, ensuring that the tailored solutions we develop resonate with both our customers and the end consumers. Let me highlight just a few examples. Myromi is an innovative tool developed by Givaudan leveraging advanced technology to enhance fragrance creation processes. It combines artificial intelligence with deep consumer insights to help perfumers design unique and personalized fragrances that resonate with consumer preferences. As consumers increasingly seek natural options, particularly in the U.S., Everzure Galdieria stands out by offering vibrant, sustainable color solutions derived from nature. Notably, it has received FDA approval ensuring its safety and compliance for use in food and beverage applications. This aligns perfectly with the current regulatory changes and the growing demand for clean label products. With the new ingredient, we empower perfumers to captivating sense that evokes a strategy in their creation by blending artistry with advanced technology and a commitment to sustainability, we enable them to explore new dimensions of fragrances. And finally, last, but not least, related to our Active Beauty business. transforms fresh algea into a high precision beauty ingredient that combats skin aging and promotes youthful skin. This innovative formulation harnesses the power of nature delivering exceptional benefits that enhance skin vitality and resilience. And with that, I now hand over to Stewart for more details on the operating performance.
Stewart Harris: Thank you, Gilles. I would like to add my warm welcome to all of the participants on this morning's call. On the following slides, I would like to give an overview of the group's operating performance and that of the 2 divisions as well as the financial performance of the group. Let me start with the financial highlights on Slide 12. As Gilles has already mentioned, group sales in the first 6 months of 2025 increased to CHF 3.864 billion, an increase of 6.3% on a like-for-like basis and an increase of 3.4% in Swiss francs. The reported EBITDA increased to CHF 945 million compared to CHF 906 million in 2024, an increase of 4.4% in Swiss francs or 9.7% when measured in local currency. On a comparable EBITDA basis, the underlying EBITDA margin increased further to 25.2% compared to 24.8% in the first 6 months of 2024. Driven by this continued operating profitability, the net income increased to CHF 592 million, and the net income margin was 15.3% of sales. The free cash flow of the group was slightly negative in the first half year of 2025, mostly due to timing effects of investments and tax payments. The net debt to EBITDA was at 2.5x at the end of June compared to 2.9x at June 2024 and 2.3x in December 2024. Please turn to Slide 13, which shows the overview of the exchange rate development so far in 2025. This slide shows the comparison of the key exchange rates in the first half of '25 versus the same period in '24. In the current year, the Swiss franc has again strengthened against all major currencies in which the group operates with a corresponding impact on the group results in Swiss francs. However, the impact is mitigated due to our operational and geographical spread providing good natural hedges and our EBITDA margin remains well protected against currency fluctuations. Please turn to Slide 14 for an overview of the operating performance of the group. The gross margin was stable at 44% in the first half of 2025 compared to 44.1% in the first 6 months of '24, with continued good operational leverage, offsetting higher input costs including those from global trade tariffs. The company is continuing to implement price increases in collaboration with its customers to offset such higher input costs with a minimal mechanical dilution effect on the gross margin. On the EBITDA level, the EBITDA was CHF 945 million in the first half year 2025 compared to CHF 906 million in the same period last year, an increase of 4.4% in Swiss francs or 9.7% when measured in local currency. The comparable EBITDA margin after adjustment for acquisition, restructuring and project-related costs of CHF 19 million and CHF 9 million of costs related to the 2024 Louisville was 25.2% compared to 24.8% in 2024. On the following 2 slides, I'll take you through the operating performance of the 2 divisions. And if you turn to Slide 15, we will start with Fragrance & Beauty. Fragrance & Beauty recorded an EBITDA in the first half of 2025 of CHF 525 million compared to CHF 500 million in 2024, an increase of 5.2%. The division incurred acquisition restructuring and project-related costs of CHF 15 million compared to CHF 14 million in 2024, mainly due to cost and cut in relation to the ongoing Competition Authority's investigations. The comparable EBITDA margin of the division was 27.6% in 2025 compared to 28.1% in 2024. A continued excellent results despite higher input costs and growth-related investments. If you would now turn to Page 16, I will take you through the operating performance of Taste & Wellbeing. Taste & Wellbeing recorded an EBITDA of CHF 420 million compared to CHF 406 million in the same period in 2024, an increase of 3.4%. The division recorded expenses of CHF 9 million in relation to the Louisville accident, which occurred in November 2024. Acquisition, restructuring and product-related costs amounted to CHF 4 million and were mostly to some remaining costs for footprint optimization, the benefits of which supported the solid improvement in the Taste & Wellbeing margin. As a result, the comparable EBITDA margin improved to 22.7% compared to 21.7% in the first half of 2024. Please turn to Slide 17 on the net income of the group. The net income before tax was CHF 713 million in the first half compared to CHF 700 million in the corresponding period last year. The effective tax rate was 17% compared to 16% for the first half in 2024. The net income rose to CHF 592 million in the first 6 months of '25 compared to CHF 588 million in the same period in '24. The net income margin was 15.3% in 2025 compared to 15.7% in the corresponding period. Basic earnings per share was CHF 64.18 in the first half compared to CHF 63.76 for the same period in 2024. Please now turn to Slide 18, which shows the free cash flow performance. In the first half of 2025, the group generated free cash flow of minus CHF 16 million or minus 0.4% of sales compared to 5.3% of sales in the corresponding period in 2024, with the difference largely driven by timing effects related to investments and tax payments. The net investments were CHF 169 million in the first 6 months, representing 4.4% of sales, notably higher than the net investments of 3.4% of sales in the prior period. Net working capital was 27.1% of sales in the first half of 2025 compared to 29.1% in 2024, demonstrating our continued strong focus on the effective management of all aspects of working capital. Please now turn to Slide 19. This slide shows that the group continues to have a well-balanced and stable debt profile with interest rates, which have been secured at attractive rates. At the end of June 2025, the net debt was CHF 4.5 billion with a weighted average interest rate of 1.9% compared to 1.75% in December 2024 and 1.96% in June '24. At the end of June 2025, the net debt-to-EBITDA ratio was 2.5x compared to 2.3x in December '24 and 2.9x in June 2024. The improvement in our leverage is a result of our sustained focus on the balance sheet, whilst continuing to invest in the growth of our business and in shareholder returns. This concludes my section of the presentation. I would like to thank you for your attention and hand back to Gilles.
Gilles Andrier: Thank you, Stewart. Let me now come back to our 2025 strategy and the outlook on Slide 21 and onwards. So as we enter in the last 6 months of our 2025 strategic cycle, let's reflect on the remarkable transformation of Givaudan. Of the recent years, we have continued to focus on our core Fragrance & Flavors business, whilst expanding into adjacent spaces, namely health and wellness, establishing ourselves as the leader in naturals and enhancing our portfolio with functional food ingredients. Additionally, we are further tapped into the world of beauty with skin care and color cosmetics, thereby leveraging new growth spaces whilst further strengthening our natural hedges. The strategic relevance of these decisions is reflected in our outperformance not only in growth but also in considerably higher operating margins and free cash flow generation compared to our peers, reinforcing our position as a market leader. Highlighting the continued execution of our strategy. We were excited about the recently announced acquisition of a majority stake in Wolman's Fragrances. This strategic move exemplifies our commitment to focused market strategies as it will greatly enhance our presence in Latin America and strengthen our partnerships with local and regional customers. Let's move now to Slide 22 and look at our performance commitments for the 2025 strategy. Ambitious targets are an integral part of our DNA, of our strategy. With average like-for-like sales growth of 7.2% for the period 2021 to 2024 and the continued strong like- for-like growth in the first half of 2025 of 6.3%, Givaudan is highly likely to exceed the upper end of its average 5-year sales growth target of 4% to 5% on a like-for-like basis for the period 2021 to 2025. We are equally on track with our free cash flow margin target and remain confident to achieve an average free cash flow greater than 12% by the end of the cycle. The group's 2030 strategy will be announced at the Summer Investor Conference to be held on 27th of August 2025 in Zurich. Let me finish now with the 2025 outlook on the next slide. As just said, we are fully on track to deliver on our 2025 strategic commitments on both the average like-for-like sales growth and the free cash flow. Even in volatile market environment, our focus on execution, our focus on our customers and our strong natural hedges across products, markets and customers has served us well, providing us with the resilience needed to both navigate challenges and seize opportunities. We have slightly lowered our expectations for input cost increases, now anticipating around 3% for 2025. And in order to protect our business, we will implement price increases to cover increasing input costs, including tariffs, in collaboration with our customers to fully compensate for the increase in input costs. For 2025, we anticipate nonrecurring costs of CHF 30 million associated with acquisition, restructuring efforts, such as the optimization of our Taste & Wellbeing footprint, which is nearing completion and other project-related expenses. As Stewart mentioned, we have recorded nonrecurring expenses of CHF 9 million in the first half related to the incident in Louisville, and we expect a similar amount to be recorded in the second half. With that, we are at the end of the 2025 half year results presentation, and I'd like to hand back to the operator for the instructions to open the Q&A. Stewart and I look forward to taking your questions.
Operator: [Operator Instructions]. The first question comes from the line of Celine Pannuti from JPM.
Celine A.H. Pannuti: My first question relates a bit to the deceleration sequentially in growth that we've seen, and clearly, there's been a bit of a deceleration in pricing. So can you please explain the different components on your pricing? I think there is FX pricing, which has been a hit and you are mentioning as well lower at the same time, you're also indicating that pricing due to tariff will probably kick in, in the second half. So if you could give us a bit of an idea of how much of an acceleration, if any, on the pricing front we will see in the second half of the year? And my second question relates maybe to volume performance, which has been a bit softer, but as well with a tougher comp. Can we talk about 2 regions? First, on the U.S., clearly, that has been a bit better sequentially. Can you talk about what has driven that and how confident you are for the second half of the year? And likewise, for Asia Pacific, you mentioned Southeast Asia facing tough comparative. Do you expect this to bounce back in the second half of the year?
Gilles Andrier: Okay. Thank you, Celine. So first, as a reminder, let's not dissect too much pricing. Pricing is not a growth strategy at Givaudan. It's something you have to deal with when you have more input costs, whether it's tariffs or raw mats. And unlike maybe other business models, it's not a growth strategy. So the first quarter, yes -- first, in the first half, as I said, the whole pricing, if I add up everything, FX plus tariffs plus raw mat input costs, are really shy of 1%. It was slightly greater than 1% in the first quarter, which means slightly lower in the Q2. But again, we are talking decimal points. So the first reason, I would say, would be or is the fact that we had a bit of carryover of pricing, especially in Taste & Wellbeing from 2024 into 2025. The second reason -- and which basically has come to the 1-year anniversary in Q2, so basically, that's the first explanation. The second one is FX pricing, as you mentioned, is much, much, much smaller, especially when I think about LatAm, for example, where you see the comparable in growth for LatAm were much, much higher in the first half. It was -- or first quarter. It was in the range of 30% to 40%. So FX pricing is the second reason. The third reason is the fact that tariffs, as we mentioned again, I remind everybody, we -- everything that we sell in the U.S., we make in the U.S. So the effect of tariffs are really on the ingredients that we have to buy from -- and import into the U.S. from all over the world. Yes, China for some fragrance regions, but a lot of naturals for many, many different markets, many, many different countries. And so the tariffs have, in a way, as you've seen, been delayed in the way they've been implemented, have been quite minimal for Givaudan, even though we have put everything in place already with our clients to reflect the tariff increase. So they've been minimal in the, let's say, close to 0 in the first quarter and slightly in the second quarter. So certainly, accelerate, but yet to be seen given the discussion, which are still ongoing. But we are fully committed and fully confident again to reflect the types the tariffs impact in the second half. So again, first, we are really slightly below and slightly up 1% in pricing, which is considered as marginal in the history of Givaudan. So let's not go too much deep into that. What's great about the first half overall is that it's all -- almost all the volume prices -- volume pricing -- sorry, volume growth, which is, I think, a great result. If we look at the 2 regions that you spelled out, so -- but I'll add 1 -- or 2, let's say, because I think it's pretty strong. So I'll start with Europe. Europe, we are above 8% of growth, which is quite phenomenal because again, against high comparables. But if you do the CAGR of Europe for the last 3 or 4 years, it's been very strong and not just led by Fine Fragrances because when I look at Taste & Wellbeing, for example, has been doing quite well in Europe for the last few years. So the second one I'd like to call out before I answer your question is SAMEA . SAMEA, again, we have an 18% growth, which is fueled not again just by Fine, but by Fine plus CP plus Taste & Wellbeing. So you are close to 18% growth on top of 18%. That becomes, obviously, one of the largest regions of Givaudan. And so then on the U.S., well, basically, I would say that in the U.S., we were almost flat. I mean, slightly, I think, 0.4% or 0.5% negative in the first quarter. So that means we grew close to 4% in the second quarter, which is encouraging. I would say one of the first reason is the fact that Taste & Wellbeing is really back on growth. We have a new leadership over there. We are back building the strong relationship with our clients, filling the pipeline of briefs and so forth, so we see a good momentum there. But also the other parts are doing well. So this -- nothing special other than basically coming back to sort of a normalized level of growth in the U.S. And Asia Pacific, so Asia Pacific Obviously, it's not a double-digit growth that we are used to when looking at the high-growth markets. So we have China, which is doing well in the high single-digit growth numbers, but also Japan, which is not a high-growth market. So it's really about Southeast Asia. And if you look at the 2 largest markets, which are really Indonesia and Thailand, basically, overall, they are facing very high comparable. You're talking, for example, in Thailand, we had close to 30% growth in the first half of last year and close to 16% for Indonesia. So we are very confident to basically reverse this trend in the second half and come back to positive territory for the Southeast Asia. So quite confident there.
Operator: The next question comes from the line of Fulvio Cazzol from Berenberg.
Fulvio Cazzol: Yes. So I've got 2. The first one is on Fine Fragrances, where the business grew by, I estimate, around 19% for the [Audio Gap].
Gilles Andrier: [Audio Gap] in fine Finances. The way we sort of indirectly measure our performance is by looking at what we call the let's say, 20% new business versus 15%. So when you grow 18%, yes, the market is growing more than normal, but the whole engine of growth has a lot to do with the new business. And lastly, on Fine, it has a lot to do also with the growth in high-growth markets because SAMEA -- to call it out, SAMEA in Fine is almost the size of LatAm plus the U.S. just to give you an idea. So we added hundreds of millions over the last 5 years [Audio Gap].
Operator: [Audio Gap].
Unidentified Analyst: [Audio Gap] I would have one question regarding the 2 swords in your side, the collusion case, on one hand; and the U.S. accident you had last year. Could you give an update -- and maybe looking forward, what might cost you in the future?
Gilles Andrier: Okay. So the first question is about the investigation on the -- from the Antitrust Authorities. So again, I mean, no news, but essentially reminding everyone that it's a multi-jurisdiction investigation, the U.S., Europe, U.K., Switzerland and a few others. We basically, let's say, reconfirm that we fully collaborate with the investigation. It's been going on now for a little more than 2 years. But we have no indication, neither on the timing nor on the findings. So basically, I can't say more than just the fact that we are collaborating. And the U.S. accident, basically, I would hand over to Stewart.
Stewart Harris: Yes. Thanks, Daniel, for the question. So I think if you remember, in 2024, we had the impairment of the facility in the U.S. And in the first half of '25, we have around CHF 9 million of costs in relation to essentially the cleanup [Audio Gap].
Unidentified Analyst: [Audio Gap] if you could remind us of your capabilities here. DDW obviously historically very strong in CaramelBrown, but is it fair to assume that with Naturex and other investments you have the full spectrum of natural color offering across blue, red, yellow, et cetera? And do you have sufficient capacity to meet the potential needs of your customers in the U.S. over the next few years if big food companies, which have come out with pledges really do deliver on those pledges to remove synthetic colors? That will be the first one. And second one, I appreciate you say it's a smaller business for you, but you called out some slower performance in Fragrance Ingredients. Should we think of that as a kind of a leading indicator at all for Fine Fragrance or consumer products fragrance, end market demand outlook potentially slowing or is that the wrong read?
Gilles Andrier: Okay. So on the natural colors, I would say, perfect timing by -- sometimes you have to be a bit lucky in life. So what I'm saying is that, yes, first, it has nothing to do with the colors that we manufacture through DDW in the U.S. around the brown and caramel Carlos. When I say perfect timing, it's because, yes, thanks to Naturex that we acquired back then in 2017-'18, but also the further developments that we have had that I mentioned, the blue color. So we have the red and the blue, which puts us in a very unique position because they are all naturals and ready to replace the synthetic version. So this is really a good place in time, and we are fully -- we have the full spectrum basically in terms of colors to replace synthetic colors. And as you know, we don't have synthetic colors. So we're not cannibalizing ourselves, just to make sure. And then on the FIB. So yes, basically, the Active Beauty -- so as you know, we publish our numbers by combining Active Beauty with Fragrance Ingredients. So as a matter of reference, Active Beauty is roughly CHF 200 million overall and Fragrance Ingredients is roughly 10% of the division. So what we see is basically double-digit growth on Active Beauty, which is really very good and very encouraging because it's fueled by all those new ingredients solutions that we provide with our clients and is a testimony to the position that we have a -- leading position that we have with highly specialized ingredients, which actually do the job and staying away from commodities. But FIB has been -- FIB is slightly declining. So it has nothing to do with -- I would say, with the end market. Most -- basically, most of our Fragrance Ingredients are sold -- or say most, a good majority are sold to our competitors. So that might give you an indication on basically the -- yes, the pace at which our competitors are growing in fragrances.
Unidentified Analyst: Okay. Sorry, just on the natural color, the capacity point, if this switch really does happen to the extent...
Gilles Andrier: Yes. So the capacity after this -- obviously, this strategic incident -- so basically, we have managed right away to activate our global network of sites that we already had at DDW. And therefore, yes, we have lost a bit of sales from the U.S., but we are able to compensate that with other sites that we have to provide the same services. And so basically, the impact on us is minimal. And we are providing full service to our clients who buy those very specific color ingredients.
Operator: The next question comes from the line of Charles Eden from UBS.
Charles Eden: Also, 2 for me, but many clarifications, please. So firstly, on the pricing, when you talk about 3% was your inflation, I guess, also a potential tariff headwind, you're likely to need somewhere in sort of 1.5% and 2% of pricing to fully offset that in absolute terms. So is it fair to assume you're telling us to expect sort of over 2% pricing in the second half of the year? Or do you think it's going to take a little bit longer to fully compensate for those 2 buckets of cost headwinds? And then, again, following up on Fine Fragrances, obviously, strong underlying demand, but there's also a structural tailwind from the increasing fragrance oil content in these SKUs, which you helpfully focused on in last year. I wonder if you've done any analysis which shows sort of what percentage of the SKUs you supply have already reformulated to include higher fragrance levels over the last, let's say, 3 years? Ultimately, I guess, what I'm trying to get a sense of is where we are along that penetration curve of this shift?
Gilles Andrier: Okay. So I'm not sure I totally your question. You're saying the pricing, if you add up the raw mats plus FX plus tariffs amounts to 2%? Is that what you're saying when you add up everything?
Charles Eden: I'm just saying if you've got a 3% raw material inflation on a 40% gross margin, then a bit of additional pricing to compensate the tariffs, you're probably looking at somewhere between 1.5% and 2% to fully compensate to keep gross profit falt for those cost of headwinds?
Gilles Andrier: Yes. I mean, okay. So first, the raw mats at best or at worst, let's say, for the full year is 3%. So that doesn't increase, so if you do your math a substantial price increase. The second thing on tariffs, I don't know where you're picking the number from. But again, it's we don't give away basically the tariffs, but it's basically not as material as you're ending up there. Let's say, when you add everything together. So on Fine Fragrances, I would say that, yes, I mean, be careful with the tailwind on concentration. So maybe we overplayed, not overplayed, but I mean, first, perfume is not "reformulated." Existing fine fragrances are not reformulated like you would see that in more in the consumer products where sometimes, yes, they increase the dosage level or they increase -- so a perfume which is already sold, you don't change the concentration. But yes, in certain parts of the world, I'm thinking of SAMEA, for example, you see higher concentration of [Audio Gap].
Unidentified Analyst: [Audio Gap] million delta versus cash flow down about 200. So your statements suggest there's about CHF 150 million swing in other noncash items. I was hoping you could maybe dissect that a little bit more to understand some of these phasing or lumpiness about it? And then maybe a second question for Gilles, if I can. Just back on Fragrance Ingredients. Just curious about your sort of strategy towards this business. I'm sure there's some things you produce in-house, some things you source from third-party suppliers. When you look at changes in the supply side landscape, but also the potential tariffs come into effect, how do you think strategically about the amount of capital that you want to have exposed to the Fragrance Ingredients part of the value chain?
Gilles Andrier: So I'll let Stewart answer the first question maybe on free flow?
Stewart Harris: So thanks for the question, Matthew. You've obviously looked into the details. So as we called out, certainly, we've had higher investments in the first half versus where we would expect to land for the full year. So full year, we would expect to be around 3.8% of sales, something in that post code versus the 4.4% we have in H1. And similarly, on taxes, about 2/3 of the tax payments that we expect to make in the year, we already covered in H1, and that's driven by, as you've seen, the sort of higher tax rate that we have under the minimum tax environment. The other topics in terms of the movements in the other noncash items is technical. And so far as it relates largely to FX movements on the respective lines within the balance sheet elements of working capital. So we're not able to attribute those to the individual lines, but that's essentially what that means. And the last part relates to a further movement in other current liabilities, which to a large extent relates to the timing of the incentive plan outcomes for 2024, which were settled in the first half. So that tries to unpack about the core elements of the movements in the free cash flow in H1. I think if you look at it in simple terms, we are confident, as Gilles said, of getting to our average 12% over the 5-year cycle. And in very simple terms, if we generate the same amount of free cash flow in the second half of '25, as we did in '24, then we'll be fine.
Gilles Andrier: Okay. So Matthew, question on FIB. So I don't want to be too long, but it's an interesting topic, you're asking all the right questions. Okay. So why do we have a FIB business? You have to start by the beginning, meaning that for our perfumers you need a great pallet for basically to fuel and to sustain that creativity. So for that, you need and we have a research which is looking for new molecules and that includes also the transition, for example, to a biotechnology source -- biotechnology, sorry, route to make some of those fragrancing ingredients more sustainable. So when we talk about the innovation of Givaudan in Fragrances, yes, it's about the creativity of perfumers, the knowledge of consumer insight and all of that, but it's also fueled by our ability to find great molecules, but also to develop new naturals like we do, for example, with this new investment we have in on the house of naturals. So then you end up with new molecules which are patented and so forth. And that, by definition, we are the only ones who can manufacture them and we prefer to manufacture them in order to protect our IP. So that's why we have chemical factories. That's why we have a research and that's why we have chemical factories around Fragrance Ingredients. And then, usually, we prefer to keep them for ourselves than to sell them because if they are clearly differentiating, we don't want to give that to our competitors to be basically giving a competitive advantage. So we prefer to keep them for a while as long as possible for ourselves. And also, we like and prefer to include those, what we call those captives into compound, into formulas than to give them, than then to sell them as individual ingredients because the business is more sticky, because it protects more IP and it also protects our formulations. So that's why we have resources, that's why we have manufacturing and that's why, at some point, we have the commercialization of those ingredients when, for example, it's less of a competitive advantage or we need more volumes to also decrease the total cost. So that's also a way to be more cost effective by selling volumes, which combine with our own internal usage and basically to drive the cost down. So that's why the strategy of Givaudan is, yes, to internalize, but not to internalize too much because if you -- and then when you ask your question about capital expenditures around Fragrance Ingredients, over the -- long time ago, we used to basically let go on, what we call, commodities when the Fragrance Ingredient at some point after 20 years becomes a commodity, we would rather let that go and outsource that rather than keep that in our chemical factories. But then that was, in a way, sort of slowed down by the fact that we managed to be cost competitive by, for example, creating a joint venture in China where we were keeping the production of those ingredients while still being competitive or Petro Escobedo, which is something that we got from Quest. So we managed to slow down the basically the abandoning some of those commodities. So that's really, what we call, the sweet spot, meaning that we want to be about the capital exposure. So we don't want, for example, to internalize more commodities because if you do that, then yes, we can have a slight cost advantage by internalizing production of chemicals. The little problem is that it's market dependent and you are -- you have a big party when the prices go up, but the misery when the prices go down because volumes go down, prices go down, the chemical plants are not fully utilized and the margin of Givaudan is certainly not the same. So that's why the sweet spot is about keeping the production of ingredients overall at the right level so that we both keep the competitive advantage, but at the same time, don't -- are not exposed to this volatility of the market. So that's a bit the story about Givaudan and Fragrance Ingredients.
Operator: Today's last question is from from Vontobel.
Unidentified Analyst: My question would be, if you have seen any meaningful changes in the behavior of your customers over this second quarter with a lot of macro changes? And related to that, it seems that many of the global customers, they expect an acceleration in the second half year based on the growth initiatives that they have, so new product launches, innovations. Is that something that you also see based on the wins that you've had, specifically for the second half year, if there is any meaningful ramp in new product launches that could also impact you?
Gilles Andrier: Yes. Thank you. So I would say the best read for us is really looking at what you mentioned, the pipeline of grids that we have and also the amount of wins that we get. So on the pipeline for us, it's very strong. It's very good across all businesses, which again reflects the positioning of Givaudan around its core and taste, on fragrances that our clients are really welcoming and being sort of a leader in terms of a partner. So that is really in good shape. It's also -- if I dissect a bit more, for example, I mentioned the momentum that we see in the U.S., really capturing all opportunities in the U.S. or in the other parts of the world or other parts of the business like consumer products, so we see -- and obviously, the continuous momentum we see in Fine Fragrances. So we see a good momentum. And also then the -- how does it translate into new wins? For me, that's the most important thing that we look at at Givaudan at all levels and which is basically measuring our ability to be better than competitors basically. And then that's the warranty that we will continue to outgrow. So that also is in very good shape across the different segments. And yes, so it's about the global clients. But again, the global clients now accounts for 40%. So don't forget about the local regions where it's fueled with a lot of different briefs and new wins, which is also quite encouraging. Okay. So that was the last question. I'd like to remind everyone before we close the call. So we have in a little more than 1 month on August 27 in Zurich, we'll share our 2030 strategy, which is the next 5-year cycle until 2030. We will have on the 7th and 8th of October this year, we will host the investor field trip which will be taking place actually in the U.S. this year. And on October 14, we will publish our 9-month sales performance. With that, I look forward to seeing you and hearing you again at one of the events -- at each of those events. And I thank you and wish you a great day and good end of the summer.
Operator: Ladies and gentlemen, the conference is now over. Thank you for choosing Chorus Call, and thank you for participating in the conference. You may now disconnect your lines. Goodbye.